Operator: Good morning, ladies and gentlemen. Welcome to Hypera Pharma's Earnings Call for the Fourth Quarter of 2024. We have with us Mr. Breno Oliveira, CEO; Ramon Silva, CFO; and Adalmario Couto, IRO. This event is being recorded. The video can be seen at the company's Investor Relations website, ri.hypera.com.br. We would also like to inform you that all participants will be in listen-only mode. We will then have a Q&A session. Further instructions will be given at this time. Before we proceed, I would like to reinforce that some information in this conference call may contain projections or statements about future expectations. This information is subject to known and unknown risks and uncertainties that may cause them not to materialize or to be substantially different from what was expected. I will now turn it over to Mr. Breno Oliveira who will begin the presentation. Mr. Oliveira, you have the floor.
Breno Toledo Pires de Oliveira: Good morning. I'd like to thank you all for being here for our earnings presentation. I will start speaking about our growth on Slide 3. Our sell-out went up 9% in 2024. In the institutional non-retail market it was 26% and in the retail market, it was 8%. We are continuing to grow significantly in the non-retail market. It was nearly 20 percentage points above the overall market growth. This was mainly driven by acceleration in sales for our current portfolio. Retail sell-out growth was in line with our expectations for the year. Influenza medication, which is about one-third of our sell-out had a significant recovery in the second half of the year and concluded with a growth of 6% throughout the year versus a drop of 3% in 2023. Our growth was below the average market growth due to the mix effect and also due to a strong increase in the patented medication market, which grew 21%. We have significant projects in our pipeline to launch molecules that will lose their patents by 2030 and we're also strengthening our efforts in several categories in chronic and preventive treatments. And we also have line extensions for important brands in our OTC portfolio. Sell-out growth for the year did not increase our net revenue due to the working capital optimization process that began in the third quarter of 2024. As a reminder, our working capital optimization strategy aims at boosting the company's operational cash generation by reducing inventories with our clients and reducing our account receivable days. By operating with less inventory throughout the chain, we will also increase our operational income due to a reduction in returns, discounts, and discards. Our focus is reducing inventories in our clients distribution centers without changing the availability of our products in points-of-sale. We're advancing significantly at a faster pace than we initially expected in this process throughout the fourth quarter. We continue to advance in this process and now in early March, our average sales term is about 70 days, which concludes about 80% of the foreseen adjustments in the first quarter alone. We did not have any problems in supplying to points-of-sale right now and we have not seen an increase in sell-out for the next months due to this strategy. Our working capital optimization strategy is not changing our marketing and innovation investments, nor are investments in increasing production capacity, as I'll show in the next slide. We invested over BRL2.3 billion in marketing innovation and production and distribution capacity. Investments in marketing include advertising, promos, medical visits, and point-of-sale initiatives aiming at boosting our sell-out growth and they represented BRL1.3 billion in 2024. Investments in research and innovation reached about BRL550 million. We reinforced our product portfolio, with over 50 launches in 2024 with line extensions for significant consumer health and skincare brands. Our cardiology, CNS and respiratory products were also a significant highlight along with our prescription products. Our CapEx investments came to a total of BRL428 million in 2024, which include investments in our distribution center, a new pilot plant, and a new biological and oncological plants to support our growth in the institutional market. Also including the Scopolamine production capacity. We're also expanding our distribution center in Anapolis, which began in 2022 and this added 27,000 pallet positions, automating, inventory management, and picking in an area of 1,600 square meters, which will help with our lead time and deliveries and will optimize our working capital. In 2024, we were once again recognized for our practices and our sustainable initiatives and we advanced in our corporate governance. We were selected once again to be in the FTSE4Good, one of the most important indexes. And we're also at B3 IDIVERSA, which includes companies that meet ethic and gender diversity initiative -- strategies. We're also a part of the S&P Global Sustainability Yearbook, which includes the most sustainable companies in the pharma industry in the last year. We strengthened aspects of corporate governance by creating a sustainability and governance committee, which reviewed the bylaws of the Board of Directors and Advisory Committees. And we also updated the company's Materiality study. I will now pass it over to Adalmario who will talk to us about the results for this quarter.
Adalmario Ghovatto Satheler do Couto: Thank you, Breno. Good morning everyone. In 2024, the company's net revenue was BRL7.4 billion, down 6% versus 2023. Our working capital optimization led to this and it began in September last year. Since we advanced in inventory management with our clients, net revenue decreased in the latest quarter with a reduction of 18% in sales versus the fourth quarter of 2023. This also had an impact on our operational leverage as expected by the company. With that, gross margins were at BRL4.4 billion and BRL786 for the quarter, a reduction of four percentage points in 2024 and 10 percentage points for the quarter. Operational income was reduced due to the lower operational leverage, but also due to the mix of products sold with a higher reduction in selling consumer health and prescription products, which are the segments that have our main power brands that have higher margins. Since the beginning of the working capital optimization process, we have continued to invest on the main demand levers with digital media, POS' and medical visits. Our aim was to continue supporting sell-out growth and market share for our brands. We also invested in boosting new product launches which are essential for the company's sustainable growth. With that, we had an increase in these expenses as a percentage of our net revenue. Marketing expenses grew 7% in 2024, which is in line with our sell-outs, and selling expenses went up 4% in the last year. General and administrative expenses were 5% higher than in 2023 and this is similar to the inflation rate for this period. With that, our EBITDA margin from continuing operations was 28% and it was BRL137 million for the quarter, a margin of 9%. This EBITDA reduction led to a reduction of 19% in net income from continuing operations for the year. The next slide shows our cash flow. We posted the highest operational cash flow in our history, above BRL2.5 billion and this considers a significant improvement in capital and working capital investments, and this also benefits from our internal inventory reduction, raw materials and finished goods which started in 2023. With optimizing working capital, we also had an investment in intangibles which include mainly R&D investments that were capitalized throughout the year and this shows our commitment to evolving our brand portfolio and building our innovation pipeline for the institutional market. So we expanded our cash flow by 21% and we finished the year with a net debt of BRL7.5 million, considering interest on own capital, which was carried out last year, our shareholder payout strategy was maintained and we paid BRL787 million in interest on capital and dividends for 2024, which was a dividend yield of 6.5% approximately. I will now turn it over to Mr. Breno Oliveira again for his closing remarks.
Breno Toledo Pires de Oliveira: Thank you, Adalmario. I'd like to conclude this call by saying that we are very happy about our working capital strategy so far. This is very painful on the short-term, but it will provide enormous benefits for the company starting in the next few months. As I mentioned before, we've concluded about 80% of this movement at the end of the first quarter and we are now at 70 day terms in March. We hope to achieve 60 days by April so that we can work in a normalized fashion starting in May. By concluding this process, Hypera will be able to combine its sustainable growth with better returns on invested capital due to a significant reduction in working capital investment. Thank you. And we will now continue with the question-and-answer session.
Operator: Thank you. We will now begin the question-and-answer session for investors and analysts. [Operator Instructions] The first question will be asked by Joseph Giordano from JP Morgan. Go ahead, Mr. Giordano. Your microphone may be turned on.
Joseph Giordano: Hi, everyone. Hello Breno and Adalmario. Thank you for taking my question. So my question is about the current trends in adjusting your inventory throughout your channel. You are further along in this process than we had imagined four or five months ago. So what I'd like to understand from you is this, looking at the very end, you mentioned in the release that most of your sales is already within these new policies. So when should we expect half of the year with some growth and some operational leverage? My second point is about your pipeline. You mentioned your pipeline with new products and how the company has a potential share of some fast growing parts of the market. So how will these launches be phased in 2026? Do you believe that this will accelerate? Thank you.
Breno Toledo Pires de Oliveira: Joe, this is Breno. I'm going to answer your first question and then Adalmario will answer the second one. So considering this process, we have been able to do it faster than we had imagined initially when we published that this process was going to happen. Especially because from the operational standpoint, things are going according or better than the plan. So every month since October we have been able to reduce these terms and clients have been able to reduce their inventories without it affecting their working capital. So as I mentioned, in March we had already been working with 70-day terms. Our goal was to get to 60 days and we will probably have this adjustment in April and then in May, we will probably be operating normally. So starting in May we will probably have sell-in and sell-out equal to each other. The second quarter results are still impacted by these effects, but starting in the third quarter we expect to see results closer to what the company will post from now on. So that was all. I will now pass it over to Adalmario to answer the second question.
Adalmario Ghovatto Satheler do Couto: Hi, Joe. Good morning. So we mentioned in our release that last year we launched 50 new products. Many of these launches were line extensions for the main brands we have in our portfolio. So we launched Buscopan droplets compound, which was an approval that we had already, had before with Boehringer. So we were able to return to this KU and it performs very well. Buscopan is one of our biggest, is the biggest brand in the company. So we're very pleased with that. Last year we also launched Muscular Neosaldina, which is a headache analgesic. But now we're making use of the strength of this brand to go to other categories. This was something that was done last year in December, but the initial results have been very positive. And as we mentioned before, we have a pipeline in the company prepared for this patent break that we will have that will start to accelerate in 2026 until 2030. So our potential market is BRL10 billion, but it will probably go up when we have new patents going public, especially because some of these products have a high average ticket. So there's an expectation that it will be reduced and that will give more access to the population. So we continue to invest in our pipeline. We're focusing mostly on chronic treatments, central nervous system, cardiology, endocrinology. These are the three main therapeutic classes in the market, but we have many launches in our vitamins portfolio. We have probiotics, women's health, and also skincare, which is the segment in which we launch the most products every year with Simple Organic, Bio Age. We have many brands in this segment. So we're very excited. Our goal of balancing our portfolio continues. We're trying to balance between chronics and adults -- and acute excuse me. We still have many acute treatments, as we can see in our mix, but the medium to long-term trend is to balance this out and to be in line with the current market with a higher share of chronics as well.
Joseph Giordano: Great. Thank you.
Operator: The next question will be asked by Bob Ford from Bank of America. Go ahead, sir.
Robert Ford: Thank you. Thank you Breno, Adalmario and Douglas. Thank you for taking my questions. So how should we think about your sales and EBITDA comparison for the first quarter? And what is pressuring your competition in generics? Is it a specific competitor or is it something broader? Thank you.
Breno Toledo Pires de Oliveira: Hi, Bob. This is Breno. So about the quarter, we're making an adjustment at a higher magnitude than we had in the fourth quarter. So I think this will be very similar to the fourth quarter, expenses continue, they grow following sell-out. And this is doing well according to plan. And sales have been smaller in the short-term due to this adjustment process. We're going to have an earnings call in about a month to talk about the first quarter, but it will follow a similar trend to the first quarter, but this is within expectations. Considering generics, we see a competition between the main players in the market. They're more aggressive with a few molecules, with large molecules. And we're also playing the game. We're also being more aggressive so that we can at least maintain our market share across a few categories. But there are price increases, so we'll have to see how the market behaves in the second quarter in this category of generics. As a reminder, generics represent 15% of our revenue, while brand medication, including OTC and prescription, represent 85% of our portfolio.
Robert Ford: Thank you, Breno. And Adalmario, what are you thinking about tech covenants?
Adalmario Ghovatto Satheler do Couto: So Ramon, our CFO, will answer that question.
Ramon Sanches Frutuoso Silva: Hi, Bob. This is Ramon. So the covenant finished the leverage for the quarter very close to what we had already imagined. With working capital adjustments, we expected a reduction in EBITDA, and leverage was expected to be higher than in the previous periods. So about the covenant specifically, just as a reminder, we have a very flexible covenant. The trigger for this covenant is a leverage of 3.75 times EBITDA and this is done with the highest EBITDA in the last 12 months and the annualized quarter EBITDA. So in order to trigger this, we would need to not follow this metric for two consecutive quarters. So we feel very comfortable with the level of leverage in the fourth quarter and the next quarters, and we will still see the effects from working capital optimization.
Robert Ford: Great news. Thank you.
Operator: The next question will be asked by Mauricio Cepeda from Morgan Stanley. Go ahead, sir.
Mauricio Cepeda: Hi, Breno and Adalmario. Thank you for taking my question. I'd like to ask about prices in chain due to this readjustment from CMED, which will be below inflation this year. And I'd also like to ask about how you're going to give discounts on the factory prices for your channel. This is not the discount that appears in your statements, but it affects the prices for the market. So how do you intend to work on that? Do you believe that the industry will reduce discounts on factory prices? And how does that match the strategy that some generic players have been using? And my second question is about the regulatory front. Once again, I know this is not a new idea in the industry, but we're seeing regulated prices to the effective market. The effective prices are always below the factory prices. And now we see that with the inflation pressure in Brazil, we're starting to think again about tying the price to the effective price. So how is this advancing? What sort of risks are you seeing? How are you getting prepared for that? Thank you.
Breno Toledo Pires de Oliveira: Hi, Cepeda. This is Breno. So considering price increases, as a reminder for us, this has a much lower impact than for the average player in the industry or in retail. Our portfolio, about 60% of it is not subject to price increases in OTCs and other medication. These prices are monitored. So companies may increase their prices as their costs increase and then they inform CMED about this. So in these categories, our prices will be increased very close to the inflation rate. So to answer the second part of your question, we have generic and similars, which have a listed price as a reference, but the prices used are significantly lower than these listed prices. So this does not have an impact for us either, considering there's some flexibility depending on the competition. So this is not a limiting factor. The biggest limiting factor is competition in the generics and similar markets, which are very competitive. And we plan to increase prices close to inflation and monitor the competitors and see how they will react. So price increases below the inflation some years it is higher than others, depending on the foreign exchange rate. But on average this tends to adjust itself. And we expect to have higher prices close to the inflation rate due to having a low, less regulated portfolio. And to answer your next question, we have been keeping track of this with the associations that we are in like [indiscernible] Pharma and others. And this is an issue that has been brought up again. But we believe that for the industry, this is something that we have already been doing. Our prices are far below the price limit and this is counter to our free market dynamic. And that's why prices are currently lower than the listed price, but this can have a higher impact in retail because it impacts the highest price that retail can use with its consumers. I don't think it has that much of an impact for the industry, but we have been keeping an eye on this and we have not seen any news besides what we saw in the media recently.
Mauricio Cepeda: Great. Thank you.
Breno Toledo Pires de Oliveira: Thank you, Cepeda.
Operator: The next question will be asked by Thales Granillo from Safra Bank. Excuse me, Thales has left the queue. The next question will be asked by Vinicius Figueiredo from IBBA. Go ahead, sir.
Vinicius Figueiredo: Good morning, everyone. Thank you for taking my question. I have two very quick ones. The first is about this working capital change. In these negotiations with your clients, distributors, and major networks or chains at some point in order to have this lower level of receivables. You mentioned that it is reaching 60 earlier. Does that have any sort of impact when we consider that in gross margins, whether it is due to negotiation or a cost related to that? And another thing I'd like to ask is about best seller medications that have patents expiring in the next few years. What have you seen from your competitors about this? In your mind does it still make sense to invest and take a part of this addressable market? Thank you.
Breno Toledo Pires de Oliveira: Hi, Vinicius. About this question, negotiating with clients, from the margin standpoint, we mentioned before when we talked about the benefits of this process that we would see later on, one of them was discounts for logistics because we were taking up a big part of the distribution centers. And these discounts have been dropped as of the fourth quarter. And that's how it will continue to work from now on. But that's not very relevant, there are very few clients that still received these discounts. And the remaining is basically what we had mentioned before. The industry in general finances their clients, their inventories, their working capital. So by reducing these terms, naturally inventories are lower and we're basically removing inefficiency from the chain, but that does not impact our working capital and we're also not receiving any pushback from our clients. So we need to be more efficient when it comes to logistics to prevent against breaks in the chain. And we haven't had any of that. So that's my answer to the first question. I did not really understand your second question, what you're referring to.
Vinicius Figueiredo: Yes, I was thinking about medication that have patents to expire now, especially Ozempic, that's the clear example. But thinking about how the competition is getting ready for it. There are some examples from the past where you had a molecule that had many competitors and then it ended up having a lower price than expected. So thinking about the future, is that still something that makes sense or maybe the company's focus is a little bit more niched, I don't know.
Breno Toledo Pires de Oliveira: Well about Ozempic specifically, the patent will expire in April next year. Originators are seeking a line extension for this patent, but this expiration date should be maintained. And there are four players that have filed for a patent with ANVISA. So we don't know when it will be launched, but there are some players who have made that request and it might be different from what happens in other markets. There are some, like Apixaban, which are simpler to develop. It's a pill with one simple active ingredient and many players and raw material prices have also gone down and that's why it generated a stronger competition. So here we believe that API availability, the pen availability, right for packaging the product, it is not as available. Production costs are higher, so we don't expect to see prices going down as much in this category. Semaglutide and biosimilars, but we are very optimistic about this product and we hope to have it as of next year.
Vinicius Figueiredo: Thank you. That was very clear.
Operator: The next question will be asked by Samuel Alves from BTG Pactual. Go ahead, sir.
Samuel Alves: Good morning, Breno, Ramon, Adalmario. I have a couple of questions. Regarding sell-out, you have said in your release that it's a bit below the overall average for the market, since patented medications are growing. So do you believe that that's just the current scenario or do you think that this will happen throughout 2025 and 2026. And the next question is about margins in 2025. You explained that working capital optimization has been accelerated. Obviously, operational leverage will have an effect. But how do you imagine the margins will be at the end of 2025? Can we consider the margins that the company had before this working capital optimization? Thank you.
Breno Toledo Pires de Oliveira: Hi Samuel. I'll answer the first question and Ramon will answer the second one. We see that the patented goods market has been growing with a very positive way. The bigger the market the bigger are opportunity once these patents expire. So we believe that this market will continue to grow, especially GLP-1s in 2025 and 2026. [indiscernible] will probably be included in 2025 and we -- and Novo is still growing in this market. So we don't believe that this will cannibalize our current markets. I think that this is more of an opportunity with medication that we have for the adverse effects of using Ozempic and the medication related to it. Ondiff is one of the biggest, the fastest-growing ones. So we see this as an opportunity not for 2025, but probably from 2026 onwards. As we start playing in these markets as well. And I'll let Ramon answer the next question.
Ramon Sanches Frutuoso Silva: Hi, Samuel. Considering the margin, we're still going to see smaller margins in the first half, considering that we're continuing the working capital optimization strategy. So costs will be less diluted, but starting in the second half of the year, we will start seeing margins at closer levels than we had before as you mentioned.
Samuel Alves: Great. Thank you.
Operator: This concludes the question-and-answer session. We will now hand it over to Mr. Breno Oliveira for his closing remarks. Go ahead, sir.
Breno Toledo Pires de Oliveira: Thank you. I would like to thank everyone for being here for this call. Our management and our Investor Relations team are available to answer your questions on our results for the fourth quarter. And I'd also like to reinforce that in about one month, we will be back to talk about the company's results for the first quarter. This is scheduled for April 23rd, excuse me, 24th. And we will have news about the first quarter. Thank you and have a good day.
Operator: This concludes Hypera Pharma's conference call. Thank you for being here and have a good day.